Operator: Good day, ladies and gentlemen, and welcome to Evofem Biosciences Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will be given at that time. [Operator Instructions] I would now like to introduce your host for today's conference Amy Raskopf. Please begin.
Amy Raskopf: Thank you, Norma. Good morning, everyone. And thanks for joining the Evofem Biosciences Fourth Quarter and Year-End 2018 Financial Results. This is Amy Raskopf, Investor Relations for Evofem. If you have not already received it please access the financial results press release issued earlier this morning on our website evofem.com under Investors. A webcast of today's call is available there as well. Various statements we make during this call about Evofem's business, strategy and plans are considered forward-looking statements for the purposes of the Safe Harbor provision under the Private Securities Litigation Reform Act of 1995. These forward-looking statements are subject to numerous assumptions risks and uncertainties which change overtime. Further information on the factors and risks that could affect our business financial conditions and results of operations including those mentioned in the forward-looking statements are noted in today's press release as well as Evofem's Annual Report on Form 10-K filed with the SEC which are available at www.sec.gov. These forward-looking statements are based on information available to Evofem today, and we see no obligation to update statements as circumstances change except as required by law. An audio recording and webcast of today's conference call will be available online from the Investor section of our website. For the benefit of those who maybe listening to the replay or archived webcast. This call will tell them recorded on March 1st of 2019. With that I'll turn the call over to Saundra Pelletier, Evofem’s Chief Executive Officer.
Saundra Pelletier: Thank you, Amy and hello everyone. 2018 was a transformational year for Evofem. We became a public company and we successfully completed a public offering that netted $36 million. We also added long term established institutional investors to our shareholder base as well as analyst coverage from five healthcare equity analysts. Most importantly, we rapidly advanced Amphora, our hormone free first-in-class multipurpose vaginal pH regulator for birth control and the prevention of certain sexually transmitted infections. We completed enrollment in the Phase 3 empowered trial of Amphora for prevention of pregnancy ahead of schedule with a final cohort of approximately 1400 women. We were excited to see that the efficacy result met the pre-specified primary endpoint of this trial and that no serious treatment related adverse events were reported. Based on these positive topline outcomes, we're confident that Amphora will be improvable asset. We are working toward a Q2 NDA resubmission and we've initiated pre-commercialization activities to enable a successful product launch in early 2020. The time is right for Amphora. Many women are just satisfied with currently available birth control options. In the United States today, there are 16.5 million women who are not using the contraceptive methods, but do not want to get pregnant including women who cannot or will not use hormonal therapy. Additionally, we expect Amphora will appeal to women who are currently using hormonal contraception but are concerned about the side-effects or the long-term impact of hormones and they would welcome a hormone free method. We're also working to expand the Amphora value proposition beyond the estimated $1.2 billion U.S. market opportunity. With IQVIA, who was the merged company of IMS and Quintiles as our representative in these transactions, we recently committed and completed an ex-U.S. market assessment. This identified very attractive opportunities in multiple regions including the EU and Russia and the Asia-Pacific region. These markets are valued at $1.1 billion and $1.4 billion respectively and they represent important non-dilutive funding opportunities for Evofem. Currently, we're in discussions with potential marketing partners in Asia Pacific. We intend to initiate the process for the EU in the second quarter with both processes expected to be completed in the second half of 2019. I also want to bring your attention to a new report from Global Data which is an independent third-party research firm. It projects the global female contraceptive market will grow from $6.3 billion in 2017 to $8.2 billion in 2027 with the majority of the sales coming from the United States. The report highlights Amphora, the only hormone free new product entry that was included in the report as a critical growth driver in the market. It also discusses the serious side-effects of currently marketed products, which is a key reason that women discontinue using birth control. The author open that Amphora will fill an important unmet need and shape the contraceptive space, unmet our MVP-R candidate and its dual method “make Amphora a very desirable form of contraception”. Additionally, findings from a recent survey conducted in a month 1024 U.S. healthcare providers revealed that Amphora if approved would be their second most commonly prescribed birth control just behind The Pill. This further validates the significant unmet need that currently exists in the market for women who are simply ready to say no to hormones. We also continue to make very good progress with AMPREVENCE. Phase 2b trial evaluating Amphora to the prevention of chlamydia and gonorrhea in women. Enrollment is more than 90% complete and we continue to expect top line study data at the end of this year. Assuming positive results, we will conduct a single Phase 3 study and submit an sNDA to expand the Amphora label to include the prevention of chlamydia. So, with that I will now turn the call over to our CFO, Jay File.
Jay File: Thank you, Saundra and good morning everyone. For the three months ended December 31st, 2018 Research and Development costs were $9.8 million versus $11.2 million in the prior year quarter. The $1.4 million decrease was driven mainly by lower clinical trial costs reflecting completion of the Phase 3 Empower study in early November 2018. This was partly offset by a $200,000 increase in non-cash stock-based compensation associated with stock-based group awards granted earlier in 2018. General and administrative costs were $5.2 million in the fourth quarter of 2018 versus $4.1 million in the prior year quarter. The increase was mainly due to a $1.3 million increase in non-cash-based compensation associated with stock-based awards granted earlier in 2018. $600,000 dollar increase in costs related to public company operations as well as various pre-commercialization activities in early prep for our planned launch of Amphora in early 2020. And a $500,000 increase in salaries and bonus expense from headcount growth since Q4 of 2017. These increases were partially offset by $1.1 million decrease in professional fees related to legal audit and taxes. Total other expense was not significant for the fourth quarter of 2018, which compares to $4.1 million in the prior year quarter which included non-cash losses associated with our Series D preferred stock that converted to common stock at the close of our reverse merger in January 2018. As a result, net loss attributable to common stockholders was $15 million or a loss of $0.58 per share for the three months ended December 31st, 2018 compared to a net loss of $20.7 million or $10.55 per share for the prior year quarter. Unrestricted cash was $1.3 million at December 31st, 2018 versus $12.1 million at September 30th, 2018. Since year-end, we added an additional $6.3 million to our balance sheet from the exercise of approximately $2.4 million warrants by institutional holders. As part of this transaction, we should these warrant holders approximately $1.2 million of reload warrants at the strike price of $5.20. We expect our quarterly use of cash will increase an average between $15 and $17 million per quarter during 2019. In the first half of the year, operating expense will be more heavily weighted in research and development as we complete and resubmit the Amphora NDA for prevention of pregnancy and complete the Phase 2b AMPREVENCE study evaluating for us for prevention of chlamydia and gonorrhea. In the second half of the year, expenses will be weighted more heavily toward marketing and pre-commercialization activities to ensure the successful launch of Amphora in early 2020 assuming timely approval. As a result, we will need to raise additional capital to execute on our current business plan. We continue to evaluate opportunities to further strengthen our balance sheet including several non-dilutive options. These include a potential royalty financing on anticipated future U.S. sales on Amphora and commercialization opportunities for Amphora in ex U.S. markets as Saundra previously discussed. With that, I'll turn the call back to Saundra.
Saundra Pelletier: Great. Thank you, Jay. We believe 2019 will be one of the most important years in our history and we have great momentum. Again, the time for Amphora is now. Amphora will be the next significant innovation and on demand women's birth control. It's time to meet the needs of more than 16.5 million women who are currently not using birth control that they are seeking new options. This presents a company with a very strong commercial opportunity that we expect to address in early 2020. So with that, I'd like to open the call to questions.
Operator: [Operator Instructions] Our first question comes from Randall Stanicky of RBC Capital Markets. Your line is open.
Randall Stanicky: Great. Thanks, guys. Given the marketing is really going to be critical here and effectively building a category and driving awareness, can you maybe talk about the plan to rollout commercially and when do we start to see that ramp and the onboarding of folks? That's number one. Second, when do we get to see any data on sexual satisfaction? And then finally, Sandra, I think I heard you correctly but with respect to partner in old U.S. or EU indicating you expect to announce deals for Asia and the EU in the back half of this year. Thanks.
Saundra Pelletier: Perfect. Thank you, Randall. So roughly you start with the commercial question and then I'll jump in at the end.
Jay File: Sure. I would love to. So from a commercial perspective our intention would be to start ramping up with the hiring. First of all of our sales managers that will happen summer months so that well prepared when we come into the fall to start the process of hiring our salesforce. The salesforce we put into place in order to be able to adequately bring them up to speed on the training necessary to sell to a non or moral category which has Saundra already mentioned will be new to the marketplace. So that will be in place and time to start training in the mid months of November through December with an anticipated commercial launch early in 2020. We then will Randall move to a place where we recognize how important direct-to-consumer advertising is within this category. I think I read a statistic at one point that somewhere in the neighborhood of 90% of the time when a woman requests a certain contraception that she does in fact receive that one. So we will move to direct-to-consumer advertising six to nine months post awards recognizing that the HCP audience needs to first be adequately prepared to receive those women we drive into their offices to request Amphora by assuring that they know both the counseling how to use the product appropriately and how to determine which women are appropriate for a non-demand method. So that would begin either in the months of June somewhere between June and say September depending on where we feel like we're out at that juncture time in terms preparing the marketplace. We will put in to place the managed care consultants that will start calling on managed care early in the second quarter as well as are our MSL or our medical scientific liaisons, who will also begin to speak with Culwell and with medical director pharmacy benefit managers. So that in a broad spectrum is the timeline and that series of hiring that will take place to support the commercial launch.
Saundra Pelletier: And then Russ sits here in Asia now really focusing on our ex-U.S. partnership, do you want to address Randall's question about the timing of announcing partnerships?
Russ Barrans: Yeah. I would love to. So as Saundra said I am actually in Asia. I've been meeting with some of those partners are those potential partners that we have narrowed it down to with our partner IQVIA here in Asia and we would anticipate that we'll be in a position to get to some binding bids by those companies that are left in the process sometime by the end of the month of March and then that will allow the process to begin to unfold around accepting one of those binding bids and moving towards the contract negotiation necessary and so our anticipation is where we're trying to have that completed by the month of June. Recognizing it takes a few months typically in terms of the legal negotiations to go back and forth. Likewise, we will kick off in the in March or the first part of April. The European as is referred to by our partners IQVIA the beauty contests in other words those companies who have indicated their interest in being part of that process have to submit their letter of interest and then we will kick off that process of interviewing and talking to them to narrow it down to those who we will put into the mix and as I said that will begin in earnest at the end of this month or the first part of April with our intention to be in a place where by midsummer we have actually put that that contract into place an agreement on that. So those would be the first two pieces that we actually already have our timeline defined for. And then for Latin America where we're going to kick off that timeline as soon. We don't have the details specifically at this point to give but we would anticipate that we'll have that done as well by the year.
Randall Stanicky: And Russ, these would be presumably upfront payment and royalty type arrangements. And are you seeing good early demand as you have some of these conversations?
Russ Barrans: Yeah, that's a correct assumption. And we are actually seeing some fairly aggressive bidding if you will. I mean they don't know as individual partners who's in and who's out but we're seeing those that are really expressing the interest you know being willing to put what in today's terms I think would be considered a reasonably nice up front with some pretty substantial milestones and then royalties that are attached to that through the length of the contract out 10 to 15 years as is being discussed right now. So now we feel pretty confident that you know those players that are still on the table that want to be a piece of this are going to give us upfront that represents the value that it's worth. And then along with that the milestones and then the other thing just to be keep in mind as we look at what the value of that opportunity is. They've also can you know understand that there are a few regions that will require some additional studies to be done in those regions and their commitment is to conduct those studies as well so that in essence is additional payment that is being made on their part towards the commercialization of the brand.
Saundra Pelletier: And then, finally to Randall's question Kelly will you address sexual satisfaction and where we are in the data?
Kelly Culwell: Yes. So unfortunately, we're not in a position to disclose any detailed results additionally from the trial other than what we've really thus far from top line data at this time. But we do look forward to sharing that you know in due course. We are in the process of putting together abstracts and publications for this year and we will be presenting in peer review settings in the third quarter of this year.
Randall Stanicky: That's great. Thanks everyone.
Operator: Thank you. And next question comes from Leland Gershell of Oppenheimer. Your line is open.
Leland Gershell: Thanks. Good morning. Thanks for taking my question. Wanted to ask a couple of questions. First, if you could discuss with the regulatory status of Amphora would be in next U.S. regions at least in some of the major regions that you're contemplating. Also, if you could if you could discuss you mentioned that the survey that you had quoted 1024 provider survey was that done by that published or was a proprietary survey? And want to know when the response was that they would use the second most commonly use product would be Amphora in a birth control category. And you said just behind The Pill is the pill meaning oral forms of hormone containing contraceptives or is it all hormone containing? I just want to sort of understand the specificity of that language. Thanks very much.
Russ Barrans: Thanks Leland. Let me jump in first. As I've been working -- I'm sorry. Yes, Saundra I'm sorry. I was just going to say that since I have been working most closely with our potential partners outside the United States what we've heard pretty much across the board are there are several jurisdictions or countries that would be willing to typically accept an FDA approval or an EMU approval -- EMA approval. So we anticipate that some of those like Australia et cetera would perhaps not require additional studies. At the same time the recognition on most people's parts are that countries such as China and Japan would most likely require an additional study to be done in those countries to have regulatory approval. When we've talked to the potential partners in the EU because our first study that was completed had 20% of the subjects that were in Russia and we've already had that scientific advice from some of the boards and the European theater. They've acknowledged that that's probably sufficient for them to have a population that is based upon their population and it would be acceptable from that point of view to likely avoid having to do additional clinical work. We've talked to some of the potential partners in the Latin America region that still it again be decided the big one there of course is Brazil. And it seems as though some of the progress has been made over the last few years would indicate that with two pretty strong studies in our favor that we may not have to do any additional work there. So, I think the overall assessment of the regulatory outlook outside United States is that most places with FDA approval are going to go for a fairly quickly but recognizing that we don't want the big pieces outside United States China will undoubtedly require a clinical study to be done there.
Leland Gershell: Thank you. And also just a question on the on the survey. If the pill you meant is simply oral forms or all forms of hormones using contraceptives it just wasn't sure what that language really meant.
Russ Barrans: Yeah. So the survey that we conducted was conducted we commissioned it through a third party called KJT Group and they have done this type of segmentation work probably more than any other market research firm in women's healthcare in the space. So when they looked at it across the board in terms of the hormonal aspect they looked at all forms. So it was not just oral contraception but it was also the IUD that are hormonal. It was the ring, the patches et cetera as well as those non-oral hormonal methods like the IUD that's copper diaphragms and those other methods. So they covered the whole gamut across the board not just not just your contraception.
Leland Gershell: Right. Okay. Thanks for taking my questions.
Operator: Thank you. Our next question comes from Yasmeen Rahimi of Roth Capital Partners. Your line is open.
Katie An: Good morning, guys. This is Katie An on for Yasmeen today. Thanks for taking my questions. First with your NDA filing in the second quarter what are the remaining items on your to-do list regarding the submission that you have to complete. And can you speak a little bit more on your post NDA submission commercialization plans specifically in relation to your current cash to cash position. And I have a follow-up. Thanks.
Kelly Culwell: So I can start with the remaining -- this is Kelly, Chief Medical Officer and I can start with the remaining items on the submission timeline. So we are recompiling basically -- we compiling our submission for the NDA as we speak putting together all of the modules and so there is a lot of medical writing going on and review processes. And so really is a matter of compiling all of the documents having them reviewed getting the medical writing done and then preparing for publication and submitting to the FDA. So that time period takes several months. And so that's why we're looking at a Q2 submission now that we have all of the available information that we needed from our confirmatory Phase 3 trial.
Russ Barrans: And Katie, this is Russ. Can I get you just to clarify for me the last part of that question just to make sure I'm answering it the way that you were asking?
Katie An: Yeah. I just wanted to know a little bit more about your commercialization plans in relation to your current cash position.
Russ Barrans: Yeah. And so you know from that perspective I probably would throw it over to Jay just to give you that answer in that regard. We've been I think we've got pretty well down to the point where we're almost at a point where I can say we've counted our nickels and dimes we know exactly what we need to make sure we're successful in terms of good commercial launch. And then I'll toss it over to Jay our Chief Financial Officer to kind of talk about that from a cash position.
Jay File: Sure, no problem, Russ. Thanks for that. Yeah. So just building on that slightly you know obviously as I mentioned in the call that you know key to us right now is raising the sufficient capital to fully execute on the pre-commercialization plan. So as Russ mentioned we are doing targeted spend currently to initiate some pre-commercialization activities identifying agent of record and things like that. And then upon close of an equity round or alternative financing we then are going to go full force with moving forward on developing the new marketing plan, paperwork HEP programs and strategies and then obviously later in the year is where Russ have previously mentioned we'll be bringing on the sales and sales support team so that we are fully ready to go upon NDA approval by the end of the year.
Katie An: Okay. Thank you. That's very helpful. And my final question is in regards to the AMPREVENCE study. What would be a clinically meaningful result in your primary endpoint proportion of patients with at least one infection during the treatment period? I guess in other words what are the rates of reinfection with the current standard of care.
Kelly Culwell: Right. So the current risk for reinfection so we purposely for this trial have enrolled women who are at high risk for reinfection because they have had a previous infection in the prior 16 weeks that risk for reinfection is between 25 and 30% during the subsequent six months. And so by enrolling these women at high risk what we're looking to see as a reduction in that infection rate to 13% compared to placebo. So that's what we powered the study to look at. So essentially a 40% risk reduction in infection.
Katie An: Okay. Thank you so much.
Operator: Thank you. Our next question comes from Ram Selvaraju of H.C. Wainwright. Your line is open.
Ram Selvaraju: Hi. Thanks very much for taking my questions. A couple on the sales and marketing first. Maybe you could comment a little bit on the composition of what you project to be the Amphora salesforce in terms of the ideal profile of the sales reps you're going to be bringing on board at that juncture and you know their background experience and so on and how easy you expect it to be to find such people. And also I was curious about whether you could provide us with some additional color at this time regarding the nature and composition of the direct to consumer advertising campaign. And then I have a couple additional follow ups.
Russ Barrans: Thanks Ram. Let me jump in and give you our what were our anticipated look like it is for the salesforce. So right now, we're anticipating 90 reps. We are planning on half of those being employees and the other half being contract sales consultants and one of the reasons why we made that decision to be quite candid with you is as you bring a new modality into a marketplace we think that there will be some shifting that goes on over time often as is the case with this type of thing it could be that West Coast East Coast has a little stronger and an upfront need for additional sales consultants and then as time goes that will even itself out across the country into what we more of the typical footprint that we'd expect. So that that will be sort of if you will the makeup also just as a note you know I've been doing this for about 25 years and always in women's health care and I've brought with me a team of people who have also been doing this. So, we've had an incredible number of people from the sales side that have already contact us at some point that have worked with us in the past that are experienced in women's health that have said when this when this opportunity comes along they'd like to be a part of it. So we really anticipated that while sometimes the contract sales force has less experience that that we will be able to supplement it nicely with our own employees that will be quite experienced in women's health so there'll be a nice balance across each district and across each geographical area as well we anticipate that we're going to be able to hire nearly 100% of our sales managers that have deep experience in women's healthcare. So with that being the case we anticipate that our sales force when we launch will not be a novice sales force but it will actually demonstrate a pretty strong strength in this specific category of women's health care. When we look at the DTC campaign it is as you suggest Ram little bit early for us to know exactly where it would be. But we do know is this is that the one thing that is the unique selling proposition or the hook that really brings women to the table and was acknowledged in the market research we did with the 1024 healthcare providers is that non-hormonal is the missing piece for that 16.5 million women and for the physicians that either are or have in the past been you know trip trying to help them find the right solution for themselves. Every market research we have done has always brought us back to that point. So this will be one of those very clear messages that for a woman who is seeking to have a non-hormonal birth control option there there's finally one available for her to be able to choose that will you know. And at that point because we do have a five 10-K clearance as a lubricant. While we may not be in a position where we're yet able to speak to the sexual satisfaction based on the fact that it will only be one study at that point and we may have to have additional studies that that validate that. We will be able to speak to the fact that the lubricated properties will add to the benefit and pleasure that's associated with their sexual experience. So, we're still a ways away from being able to put into testing some of those concepts, but actually Tim and the team will be meeting with the vendors next week to start that process of putting that into place and getting a timeline put together for that.
Ram Selvaraju: Okay. Thanks very helpful. And just a couple of small housekeeping items. The reload warrants. Could you give me a sense as to what the expiration date of those warrants is and if any of those are a cashless exercise.
Jay File: Yeah. Sure, on that. So, they do have -- they carry forward the same terms as the original grant date and those did allow for a cashless exercise and they were a 10 year warrants originally.
Ram Selvaraju: Okay. Thank you.
Operator: Thank you. [Operator Instructions] Our next question comes from Carl Burns of Lawson Northern Securities. Your line is open.
Carl Burns: Great. Congratulations on your progress. You provided some visibility with respect to publication of the Amphora data and peer reviewed journals in the third quarter. Can you provide us with any visibility on presentations in upcoming major medical conferences? Thanks.
Kelly Culwell: Yes. And in fact I what I intended to say was that the major medical conferences that where we would be presenting are in the third quarter. We are also preparing manuscripts for publication which you know that timing of when they would actually be published is sort of dependent on the journals themselves. But our key scientific conferences for this year happen in the third quarter and they include the North American Forum on family planning and the American Society for Reproductive Medicine. We will also be presenting data at the 2020 American College of July at meeting.
Carl Burns: Great. Thanks so much.
Operator: Thank you. Our next question comes from Matthew Lillis of Cantor Fitzgerald. Your line is open.
Matthew Lillis: Thanks for taking questions. I'm curious if you could provide any further color on the U.S. market assessment. Did you find the attraction of the product in those markets similar to what you find in the U.S.? And secondly, given the discussion the early partnership discussions do you have a feel for when ex U.S. sales may come to fruition how far after your U.S. launch could we start to see an impact from that. Thank you.
Russ Barrans: Thanks Matt. Appreciate that question. So we did a fair amount of research that we were trying to assess if that 16.5 million women that we saw in the United States were also going to be produced outside of the United States and what we can say today is that there are roughly 337 million women who we call hormone avoiders that was found with the research that was done in rest of world. And then adding that 16.5 million from the United States and that research was done by IQVIA. Of course, we know they all know the secondary data through been IMS, but you know now the new one as well as the primary market research that they conducted to support that that data point. So that's a that's really good news for us to be able to learn. Additionally, what they were able to discover is this that in while direct to consumer is not allowed anywhere else in the Asia-Pacific region with the exception of New Zealand which has a very similar process as ours however a population base is relatively small. What they did find was that social media especially in the APAC Asia-Pacific region is huge and critically important for decisions that have to do with contraception and health care. So we do anticipate that while we are not able to see our partners use direct consumer as we would they will be able to leverage the social media aspect and talking to one of them that is again a multinational name that is almost a household name if you will. They were able to say to us how they've been able to drive some of the other products in our portfolio through social media which gives us a good feel for that. In terms of how quickly we'll start seeing any revenue start coming in. As I said earlier there are going to be a -- it'll be a cascade if you will. Some jurisdictions will allow you to file and be put into the process of approval based on the FDA approval. And so those typically tend to be in the neighborhood of one-year approval processes. It has been determined in all regions that we're better to wait for the FDA approval rather than putting the filing in now as typically they say you're one step behind in other words if we were at a Phase 3 they would put it into Phase 2 for a Phase 4 they'll put it to the Phase 3. So as a result we think in with our partners that will be most effective to wait for the additional time to the end of the year file and then roughly about one year later we will start seeing some of those countries come on those that require clinical trials or have a longer regulatory process as in the event of China could take several years to do but we again with our partners will be getting that process to preparing the dossier as soon as we've got our dossier together for the FDA.
Matthew Lillis: Great. Thank you.
Operator: Thank you. And this concludes Q&A portion. I'd like to turn the call back over to Saundra Pelletier for closing comments.
Saundra Pelletier: So I'd like to thank all of you for your various few questions and for your ongoing support of Evofem and our mission to develop and provide innovative healthcare solutions that will really empower women to take control of their sexual and reproductive health. We look forward to seeing many of you at the upcoming equity conferences including the Oppenheimer Healthcare Conference in New York and the Roth Conference in Laguna. We are participating in the novel contraception and women's health panel in addition to our fireside chat. So, with that I hope you have a great rest of your day. Thank you again so much.
Operator: Ladies and gentlemen, thank you for your participation in today's conference. You may disconnect. Everyone have a wonderful day.